Operator: Good day, and thank you for standing by. Welcome to the Teknova Third Quarter 2025 Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Senior Vice President of Marketing, Jennifer Henry. Please go ahead.
Jennifer Henry: Thank you, operator. Welcome to Teknova's Third Quarter 2025 Earnings Conference Call. With me on today's call are Stephen Gunstream, Teknova's President and Chief Executive Officer; and Matt Lowell, Teknova's Chief Financial Officer, who will make prepared remarks and then take your questions. As a reminder, the forward-looking statements that we make during this call, including those regarding business goals and expectations for the financial performance of the company, are subject to risks and uncertainties that may cause actual events or results to differ. Additional information concerning these risk factors is included in the press release the company issued earlier today, and they are more fully described in the company's various filings with the SEC. Today's comments reflect the company's current views, which could change as a result of new information, future events or other factors, and the company does not obligate or commit itself to update its forward-looking statements, except as required by law. The company's management believes that in addition to GAAP results, non-GAAP financial measures can provide meaningful insight when evaluating the company's financial performance and the effectiveness of its business strategies. We will therefore use non-GAAP financial measures of certain of our results during this call. Reconciliations of GAAP to non-GAAP financial measures are included in the press release that we issued this afternoon, which is posted on both Teknova's and the SEC's website. Non-GAAP financial measures should always be considered only as a supplement to and not as a substitute for or as superior to financial measures prepared in accordance with GAAP. The non-GAAP financial measures in this presentation may differ from similarly named non-GAAP financial measures used by other companies. Please also be advised that the company has posted a supplemental slide deck to accompany today's prepared remarks. It can be accessed on the Investor Relations section of Teknova's website. And now I will turn the call over to Stephen.
Stephen Gunstream: Thank you, Jen. Good afternoon, and thank you, everyone, for joining us for our third quarter 2025 earnings call. We were encouraged by our third quarter results. Revenue increased by 9% compared to the same period last year, making it the fifth consecutive quarter of year-over-year growth. That growth was driven by strength in sales of our Lab Essentials products, revenue from which grew 16%. We also executed extremely well operationally. I'm pleased with the progress we have made to prepare Teknova for long-term sustainable above-market growth. Through investments we've made in distributor management, purchasing integration and price optimization, we have succeeded once again in growing revenue double digits in catalog products, which represents the majority of our Lab Essentials revenue compared to the same period last year. We have also increased and diversified our Clinical Solutions customer base, which we believe will translate to significant revenue growth as these therapies and diagnostics move towards commercialization in the next 2 to 3 years. Operationally, we continue to execute extremely well. Key projects to drive operating efficiency and reduce costs such as moving to electronic batch records, automating high-throughput dispensing lines and adding larger batch size capabilities are on track and expected to be operational in 2026. We are already seeing the results from previous investments through improved operational metrics such as on-time delivery, which allow us to further differentiate Teknova from other reagent suppliers in the marketplace. The progress made operationally over the past couple of years has given us more confidence in our ability to scale Teknova to more than $200 million in annualized revenue without significant additional capital investments. We also remain active in pursuing potential tuck-in acquisitions and collaborations to bolster our capabilities, reduce our time to profitability and accelerate top line growth. Now I'd like to turn my attention to the broader market. As a reminder, we do not have material exposure to the geopolitical environment given that our sales are predominantly in the United States. only about $1 million annually of our raw materials we estimate are imported and less than 4% of 2024 revenue was directly attributable to government research institutes and academic institutions. Nonetheless, we do have exposure to changes in biotech funding levels because approximately 25% of our total revenue is derived from purchases of custom products by biopharma customers, most of which are supporting therapies in preclinical or early-stage clinical trials. While the value of catalog products purchased by customers in this segment remains steady and growing in 2025, we have seen continued delays in larger purchases of custom products. Though we observed a sequential uptick in biotech funding in the third quarter, unless we see sustained improvement in the biotech funding environment or advancement through clinical trials of the therapies we already support, we expect only modest improvement in this end market in 2026. Fortunately, the other 75% of our revenue from sales of catalog products and custom products across all other market segments has grown in the low double digits for the year-to-date period, and we are seeing an uptick in demand for custom reagents in these other segments of the market, such as animal health, life science tools and diagnostics. Taken together, we remain very confident in our strategy and are optimistic for the long term. First, we have a foundational business that is predictable and growing that can support the company until the biopharma market returns to historical growth rates. Second, we have demonstrated our ability to execute operationally and commercially. And finally, we continue to attract and onboard new Clinical Solutions customers, which we believe, in combination with our Lab Essentials products will allow us to achieve a sustainable 20% to 25% top line growth as therapies and diagnostics migrate from research to commercialization. I will now hand the call over to Matt to talk through the financials.
Matthew Lowell: Thanks, Stephen, and good afternoon, everyone. Overall, we delivered great financial results for the third quarter of 2025. As Stephen noted, revenue was $10.5 million, a 9% increase from $9.6 million in the third quarter of 2024. Once again, strong sales from the catalog portion of our Lab Essentials products drove our revenue growth in the quarter. Lab Essentials products are targeted at the research use only or RUO market and include both catalog and custom products. Lab Essentials revenue was $8.3 million in the third quarter of 2025, a 16% increase from $7.2 million in the third quarter of 2024. The increase in Lab Essentials revenue was attributable to higher average revenue per customer and to a lesser extent, a larger number of customers. Clinical Solutions products are made according to -- Good Manufacturing Practices, or GMP, quality standards and are primarily used by our customers as components or inputs in the development and manufacture of diagnostic and therapeutic products. Clinical Solutions revenue was $1.7 million in the third quarter of 2025, a 13% decrease from $2.0 million in the third quarter of 2024. The decrease in Clinical Solutions revenue was attributable to lower average revenue per customer, partially offset by an increased number of customers. We expect revenue per customer to increase over time as a subset of these customers ramp up their purchase volumes as they move through the phases of clinical trials. However, this metric can be affected by the addition of newer clinical solutions or GMP catalog customers who typically order less. Just as a reminder, due to the larger average order size in Clinical Solutions compared to Lab Essentials, there can be more quarter-to-quarter revenue lumpiness in this category. On to income statement highlights. Gross profit for the third quarter of 2025 was $3.2 million compared to $0.1 million in the third quarter of 2024. Gross margin for the third quarter of 2025 was 30.7%, which is up from 0.9% in the third quarter of 2024. The increase was primarily driven by $2.8 million of nonrecurring and noncash charges during the third quarter of 2024 related to the disposal of expired inventory and write-down of excess inventory. Excluding those nonrecurring and noncash charges, the gross profit would have been $2.9 million and gross margin would have been 29.8%, respectively, in the third quarter of 2024. The improvement in gross margin from 29.8% to 30.7% was driven primarily by higher revenue. Operating expenses for the third quarter of 2025 were $7.2 million compared to $7.5 million for the third quarter of 2024. The decrease was driven by an overall net reduction in general and administrative spending. At the end of the third quarter of 2025, we had 161 total associates compared to 165 a year earlier. Net loss for the third quarter of 2025 was $4.3 million or negative $0.08 per diluted share compared to a net loss of $7.6 million or negative $0.15 per diluted share for the third quarter of 2024. Adjusted EBITDA, a non-GAAP measure, was negative $1.6 million for the third quarter of 2025 compared to negative $2.2 million for the third quarter of 2024, excluding the impact of the $2.8 million charge related to inventory. Now for cash flow and balance sheet highlights. Capital expenditures for the third quarter of 2025 were $0.4 million compared to $0.3 million in the third quarter of 2024. Free cash outflow, a non-GAAP measure, which we report as cash used in operating activities plus purchases of property, plant and equipment was $2.4 million for the third quarter of 2025, which was the same as the third quarter of 2024. Turning to the balance sheet. As of September 30, 2025, we had $22.1 million in cash, cash equivalents and short-term investments and $13.2 million in total borrowings. Now for our outlook. We are reiterating 2025 total revenue guidance of $39 million to $42 million. Based on persistent softness in demand for our Clinical Solutions products from biopharma customers, in particular, we now expect to finish slightly below the midpoint of that range. Revenue from sales of our catalog products, which represents the majority of our Lab Essentials and a small portion of Clinical Solutions revenue was up at a mid-teens growth rate in the third quarter of 2025 as spending on discovery work continues to be robust in certain pockets of the market. On the other hand, growth was minimal from custom products, which represents a modest portion of Lab Essentials and the large majority of Clinical Solutions revenue as the macro environment remains favorable for early-stage small to midsized biopharma customers and for their clinical work in particular. As we look ahead to next year, we expect modest growth in custom biopharma products, representing about 25% of our total revenue and low double-digit growth in the remaining 75% of total revenue, which is not as impacted by the weak biotech funding environment. Gross margin was up over the prior year quarter and down sequentially. As we explained at the time, during the second quarter, several cost categories that normally fluctuate skewed favorably, whereas this quarter, the effect was more balanced. Our gross margins are very sensitive to the effect of these fluctuations due to the size of our business. We still believe that over longer periods of time, approximately 70% of incremental revenue will flow through to gross profit. Our gross margin target for fiscal year 2025 remains in the low 30s. Although we ended the third quarter below target spending levels, partly due to timing considerations, we continue to expect operating expenses of at least $8 million in the fourth quarter, allowing us to moderately increase our investment in sales and marketing compared to last year, positioning ourselves for the market's broader recovery. At these spending levels, we continue to believe we will become adjusted EBITDA positive in the range of $50 million to $55 million in annualized revenue. The company continues to expect free cash outflow of less than $12 million for the full year 2025. As we have communicated previously, based on reasonable assumptions about future growth and spending plus current liquidity, we believe that we do not need to raise additional capital to execute on our organic growth strategy. With that, I will turn the call back to Stephen.
Stephen Gunstream: Thanks, Matt. We believe the long-term outlook for our end markets remains positive, and we are committed to helping our customers accelerate the introduction of novel therapies, diagnostics and other products that improve human health. We will now take your questions.
Operator: [Operator Instructions] The first question comes from the line of [ Mac Etoch ] of Stephens Inc.
Steven Etoch: Maybe just to start, just given the recent rhetoric around MFN pharma tariffs and just the subsequent announcements around onshoring capacity and pharma production, how have customer conversations trended thus far into the second half of this year?
Stephen Gunstream: Yes. Thanks, Mac. So I would say we like the idea of these leading indicators, whether it's biotech funding or the MFN results, but we're not yet seeing the impact from the customers. So I think there's optimism across the board, but the actual actions of maybe purchasing more ramping up purchases, we have not yet seen, which is why we've been here before, and we want to make sure that we're cautious and seeing that when these things start to happen, if they're sustained for an extended period of time, we believe it will impact the sort of the emerging therapy side. At this point in time, I would say we're seeing some nice growth in the large pharma. We're actually seeing some nice growth in some of the emerging therapeutic companies that have been purchased by larger companies, but those that are still constrained by capital are operating in a way that they're rationalizing the pipeline or slowing things down at the moment. So at this point in time, Mac, there's been pretty limited conversations about ramp-up there.
Steven Etoch: Okay. Fair enough. I'd also like to get a little bit of an update on the RUO+ initiative. It's been, call it, a little over a year since that's been put into place. Is there any update on how the efforts are trending there?
Stephen Gunstream: Yes. It's an important part of our portfolio, and it filled a really nice gap for us and that we put a lot of effort and investment into this new facility. We have a lot of customers that want to use the new facility but are not quite ready for GMP, and it's a great landing spot for them, where they can get their products made in the facility. They get a lot more flexibility in their formulations. They get sort of improved quality that is very similar to GMP, but not quite all the way to GMP at a price that's not the exact same as GMP, right? So for us, it allows us to get a little bit of a price premium for using that facility, but not actually committing them to some more controls around the changes they want to make and get their products to them sooner. So this is a really nice landing spot. We're seeing customers come in there. Those will sit in that Lab Essentials business because it's part of their research use only. And the goal there is obviously to migrate them to GMP, and we see a lot of customers actually sitting in that pathway right now.
Operator: Our next call comes from the line of Brendan Smith of TD Cowen.
Brendan Smith: I appreciate all the color on actually the funding environment impact or potential impact into next year. Actually, just wondering if you could maybe give really any more color there on actually the expected product mix that could kind of come in some of these different scenarios that might help drive that compensation you're talking about the possibility of a more protracted biotech slowdown. I guess really just wondering if there are any specific products within that custom portfolio that you're seeing particular interest in and what maybe your expectations are for those into next year?
Stephen Gunstream: Yes. So Brendan, if you're asking about like what type of product mix we typically sell into the custom biopharma, is that correct? And how we see that changing over time?
Brendan Smith: Yes, more specifically like into next year, if you're confident that the rev mix that you're seeing now could kind of compensate for any potentially protracted biotech funding slowdown, just kind of wondering if there are specific products within there that you're kind of seeing special interest into next year that could help drive that.
Stephen Gunstream: Yes. Maybe I'll -- I think what you're after is sort of, obviously, there could be -- and we expect some continued conservation of capital in the biotech environment, particularly around emerging markets over the next, I don't know, say, 6 to 12 months. We're very fortunate that 75% of our business is growing double digits. And we're actually seeing it almost entirely across the board, across every market segment and actually all 3 of our primary product lines of agar plates, cell culture media and buffers. So we're pretty excited about actually that side of the business and how well we're performing there. We do see an increase in interest on actually the tools and diagnostics side, where we supply a number of products, both for the discovery, but also in that custom into clinical trials. And so, the combination of having this sort of increased number of clinical customers right now as we go through this period with this predictable baseline growth that is in the double digits. And I will say that -- that is very similar to the business that was here before we made a lot of these investments that grew between 2009 and 2019, 12%. We're back to that level, if not higher at times. So we feel like we're in a really good spot to let the rest of our strategy play out on the therapeutic side, and we're working on bringing on more of these customers in these other market segments.
Operator: Our next question comes from the line of Matthew Larew with William Blair.
Matthew Larew: Matt, your comments on 2026, if you've got 75% of revenue growing low double digits and modest growth of 25%, that seems to suggest something around 10% as a starting point. So I guess, is that math right? And then on the Clinical Solutions side, you've called out a couple of times this year the growth in the number of customers. I know that's a metric you update annually, but maybe just if you can help us how that is tracking new customer acquisition relative to perhaps years past and your own expectations this year.
Matthew Lowell: Yes. Thanks, Matt. Yes, obviously, it's a little bit early to be really commenting with precision on 2026, and we'll certainly do that in our next call when we report year-end earnings. But I thought it might be useful to provide some high-level thoughts about where we see things today. And you're right, kind of in the -- we've kind of focused on these 2 components of the business, the 25% we've been talking about in custom biopharma and the 75% of the rest basically. And as Stephen outlined in his comments, we have -- the market environment has been relatively stable the last couple of quarters in that custom biopharma or also known as bioprocessing in our business. And we are not seeing any strong indicators yet that, that's going to be changing in the near term, but we'll be, of course, updating that view every quarter, and we will have some more data points here by the time of our next call, obviously. But on the other hand, we -- as Stephen just highlighted, the rest of the business is performing really well. And then similarly, don't see that changing in the near term. And that's a great thing to have the diversity in the portfolio to have these 2 pieces even though they're working in different directions at the moment. But yes, I think in general, that's kind of the math that we see at the moment. And in terms of the overall development of the Clinical Solutions business, we have been adding customers there, and we will be reporting at the end of the year kind of where those numbers land for the year once we're done. We continue to see increases of the larger-sized customers, although the mix can sometimes change between the end markets, as Stephen was pointing out, could be some differences in life sciences and tools and DX, of course, versus biopharma, for example. But in either case, we're happy to onboard those customers and have them as customers with significant revenue potential going forward. So yes, it's looking good and the makeup of it is maybe changing a little bit, but we'll see how we finish the year.
Stephen Gunstream: Yes. I'd just add, Matt, that on that particular thing, when we talk about increasing, I think it's particularly a positive statement that we're increasing despite companies that we supported last year are really no longer in existence in many ways, right? So we have to overcome that barrier and then add new ones. So I feel like the team is executing really well there. Of course, there's always more we can do. And at the end of the year, we'll give you guys a better update on that.
Matthew Larew: Within kind of the new modality world, cell and gene therapy, there's been, I'd call like a, kind of a grab bag of clinical updates throughout the year, some quite positive, particularly in some recent gene therapy indications, some perhaps more negative. And obviously, we're now a bit a year or so into some of the fast-track efforts, whether it's Fast Track or RMAT, whatever it might be. Just within your customer group, what's your exposure like to those various type subgroups? And do you have customers that have an opportunity to participate in these programs? And how has that affected either their demand or how they're working with you?
Stephen Gunstream: Yes. I think it's also fair to say it's been a grab bag for us where we have some that have done quite well and have participated in some of those programs and some that are really constrained recently. I know at the end of 2024, we did talk about the number of clinical customers we have was 48, of which 39 were biopharma related. Of those 39 that were biopharma, 23 were cell and gene therapy, right? So that kind of gives you the idea of the exposure that we had at the end of 2024. I don't think it's changed drastically, Matt, but I think there are some there that are later stage that are actually executing to plan. There are some that have been acquired and the new party is actually running those and executing those. And there are some there that I would say they are more sensitive that are more in mRNA or some of the sort of sensitive gene therapy areas that have been both positive and good -- positive and negative over the past year. So we're kind of -- as a company, because our specialty is making these custom small batches of reagents that are not specifically tied to a therapeutic, we're kind of participating in all sides of the market, if that makes sense.
Matthew Larew: Just the last one for me. Gross margins year-to-date are up about 600 basis points, and that's despite Clinical Solutions being flattish, slightly down year-to-date, so largely scale driven. You referenced, Matt, a number of, I guess, both completed in process and planned projects to continue to improve efficiency. I know scale is a big piece. Is that kind of the right gross margin improvement trajectory to think about? Or are some of the projects you referenced more or less impactful in terms of go forward?
Matthew Lowell: Yes. I think -- thank you for highlighting those initiatives, Matt. We are working on a lot of things we already completed and things we're still working on for next year. I would say the key driver for margin performance over multiple quarters, not just in a single quarter, is this high fixed cost, low variable cost mix in our cost profile that we have, where again, we've talked about this 70% of incremental revenue flowing through. The projects will change that a little bit. But I would say, overall, that is going to be still thematically the strongest piece. So as you can see, though, from quarter-to-quarter, there is variation against that 70%. I would say that the 70% is most realizable in the -- when we talk about cash, 70% of cash dropping through, sometimes due to other types of accounting for inventory and production, we can see some of the variations that we've seen this quarter and the last quarter as 2 examples in each way. But I think overall, we still have a very high fixed cost makeup, and that is going to allow us to continue driving strong performance into next year, commensurate with the growth that we're expecting.
Operator: Our next call comes from the line of Tollef Kohrman with Craig-Hallum.
Tollef Kohrman: You talked about process improvements taking effect in '26. Are there any other areas you're looking to drive more efficiencies?
Stephen Gunstream: Yes, of course. I mean, this is a constant theme here. Since we started on this journey about 5 years ago, we mapped out a lot of these processes that we felt like are inefficient. And now we put the IT infrastructure and the systems in place that we can really track and identify those areas. So we're always looking at efficiencies. Now there's a couple of different kinds, right? So on the operational side, you can look at labor and direct labor savings. But of course, if we can get more output with the same fixed cost, right, that drives a lot to the bottom line and will allow us to keep the same number of, say, headcount as we ramp up in revenue. And in fact, you heard in the transcript, we have 161 employees at the end of Q3. Now there was a time where we were actually over 300 with a similar revenue amount. So significant work has gone into driving efficiency across the board, and we won't stop that as we go forward. So there's efficiency in the operations, but then there's efficiency in all the other supporting functions as well. So a lot of IT infrastructure here, a lot of processes being optimized around metrics and then even rolls all the way to the commercial side, right? How do we do more with the same number of people. And so it's just a mantra here more than anything else and probably -- it would take us a long time to go into all the details here, but I think you can kind of see that from a company, we have like 2 major focuses. One is how do we drive top line and continue that going forward as we wait for these customers to come all the way through the therapeutic pipeline as well as then how do we continue to optimize our processes, whether it's operations, commercial, HR, you name it.
Operator: Our next question comes from the line of Mark Massaro of BTIG.
Vidyun Bais: This is Vivian on for Mark. I'll actually just keep it to one. So I think you touched on briefly maybe some incremental spend on the sales force, just trying to get ahead of a recovery in funding. Could you just remind us where your sales force sits today and kind of at what levels you might feel rightsized?
Stephen Gunstream: Yes. And we will often talk to us about how many people you have in the field, and we think about it much more broadly as a commercial organization. So -- we're talking about modest increases here, as we said, since the beginning of the year, where we're talking maybe a couple of headcount here and there. But again, back to the last comment, a lot of these are process improvements that we're driving efficiency. So I think what you'll see over the course of the next year is less than 10 headcount increases overall for the entire commercial organization, including customer support and marketing and field sales.
Operator: I'm showing no further questions at this time. Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.